Operator: To all sites on hold, thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time throughout the call, please press 0 and a member of our team will be happy to help you. Good morning, and welcome to the Bio-Techne Earnings Conference Call for 2026. At this time, all participants have been placed in listen-only mode. The call will be open for questions following management's prepared remarks. During our Q&A session, please limit yourself to one question and one follow-up. I would now like to turn the call over to David Clair, Bio-Techne's Vice President, Investor Relations. Good morning, and thank you for joining us.
David Clair: On the call with me this morning are Kim Kelderman, President and Chief Executive Officer, and James T. Hippel, Chief Financial Officer of Bio-Techne. Before we begin, let me briefly cover our Safe Harbor statement. Some of the comments made during this conference call may be considered forward-looking statements, including beliefs and expectations about the company's future results. The company's 10-Ks for fiscal year 2025 identify certain factors that could cause the company's actual results to differ materially from those projected in the forward-looking statements made during this call. The company does not undertake to update any forward-looking statements because of any new information or future events or developments. The 10-Ks, as well as the company's other SEC filings, are available on the company's website within its Investor Relations section. During the call, non-GAAP financial measures may be used to provide information pertinent to ongoing business performance. Tables reconciling these measures to the most comparable GAAP measures are available in the company's press release issued earlier this morning on the Investor Relations section of the Bio-Techne Corporation website at www.biotechne.com. Separately, in the coming weeks, we will be participating in the Cowen and Leerink Healthcare Conferences. We look forward to connecting with many of you at these upcoming events. I will now turn the call over to Kim. Thank you, Dave. And good morning, everyone. Welcome to Bio-Techne's second quarter earnings call of fiscal 2026.
Kim Kelderman: Our second quarter performance was largely in line with our expectations. Continued strength from our large pharma customers was offset by a soft yet improving biotech end market and a soft but stable US academic end market. As anticipated, order timing impact from two of our largest cell therapy customers receiving FDA Fast Track designations also created a temporary headwind. Taken together, these factors resulted in flat organic revenue growth for the quarter. Overall, these end market dynamics combined with solid execution across the organization drove sequential year-over-year organic revenue growth improvement in most of our product categories. I would like to mention the following highlights. Our core reagents and assays, proteomic analysis instruments, and diagnostic kits all grew modestly more in Q2 than during Q1. Cell therapy, excluding our two largest FDA Fast Track customers, delivered strong sequential improvement in year-over-year growth. In our spatial biology franchise, we saw a meaningful acceleration in bookings for our automated Comet platform. In addition, we delivered our third consecutive quarter of growth in China, alongside notable strength across the rest of Asia. The team delivered these top-line results with a continued focus on our sector-leading profitability profile. Adjusted operating margins expanded, like in our first quarter, by approximately 100 basis points year-over-year to 31.1%. This performance reflects our disciplined approach to productivity and cost management while continuing to invest in the strategic growth verticals that will continue to shape Bio-Techne's future. These four strategically important growth verticals—cell therapy, proteomic analytical instrumentation, spatial biology, and precision diagnostic tools—now represent 47% of our total revenue, up from 32% in fiscal 2020, and with that, delivering an upper teens CAGR over the past five years. Notably, our core portfolio of reagents, assays, and diagnostic controls delivered a competitive mid-single-digit CAGR over the same period. Calendar 2026 is a milestone year as we celebrate Bio-Techne's fiftieth anniversary. Several events are planned to mark the occasion, including ringing the Nasdaq closing bell on February 25. Over the past five decades, we have built one of the most durable and differentiated portfolios in life science tools addressing high-growth, high-value applications aligned with global healthcare megatrends. We recently highlighted several of these high-value applications during our presentation at the JPMorgan Healthcare Conference. As a case in point, we often emphasize the essential role our GMP reagents and proteomic analysis instruments play in enabling cell therapy workflows. But these capabilities extend well beyond cell therapy as our tools support development and manufacturing across a broad range of advanced therapies. Our ProteinSimple franchise, for example, is an essential component in the development, manufacturing, and quality processes of monoclonal antibodies, antibody-drug conjugates, and other advanced biological treatments. Turning now to the performance of our end markets in the most recent quarter, beginning with the biopharma customers. Excluding cell therapy, the divergence between large pharma and emerging biotech persisted in Q2, although the gap narrowed. Revenue from our large pharma customers remained strong, increasing low double digits for the fourth consecutive quarter. In contrast, emerging biotech declined mid-single digits, reflecting continued pressures stemming from negative funding conditions during 2025. While growth from these smaller biotech customers remained challenging, we did see sequential improvement. As many of you know, biotech funding rebounded meaningfully in 2025, positioning this end market for improvement going forward. In academia, stabilization in the US continued with constructive developments on the federal funding front. Both the House and Senate appropriation bills include roughly a 1% NIH budget increase, maintaining indirect funding rates, and capping multiyear grants at fiscal 2025 levels. While these bills must still be reconciled, the proposals are far more supportive of academic research than originally feared. For Bio-Techne, a modest decline in our US academic business was partially offset by stable growth in Europe, resulting in a low single-digit decline for this end market overall. Shifting to performance by geography, the Americas declined high single digits. However, after adjusting for cell therapy order timing headwinds, revenue in the region grew low single digits. EMEA was flat against a strong double-digit comparison from the prior year as strength in diagnostics was offset by order timing dynamics. China grew mid-single digits, marking its third consecutive quarter of growth supported by R&D investments from CDMO, CRO, and biotech customers working on advanced therapies. This activity level is driving demand for reagents and proteomic analytical tools. Across the APAC region, we saw strong, broad-based performance with growth approaching 20%. We remain encouraged by the momentum in both China and APAC and believe that these regions are well-positioned for continued growth. Let's now turn to our segments, starting with the Protein Sciences segment, which declined 1% organically. As expected, Fast Track designation from the FDA for our two largest cell therapy customers reduced near-term GMP reagent demand, given that these customers had already secured the materials necessary to complete their clinical programs. Therefore, the revenue in our cell therapy business declined over 30%, including a 50% drop in the GMP reagents specifically. However, excluding the two customers that are progressing through priority review with the FDA, GMP reagents grew nearly 30%, which underscores the strength of our offering and improving end market demand. Sticking with cell therapy, I'd also like to give an update on Wilson Wolf. As a reminder, Wilson Wolf manufactures the market-leading G-Rex line of bioreactors used to efficiently and economically scale cell therapies. We currently own 20% of Wilson Wolf and will complete the full acquisition by the end of calendar year 2027 or sooner based upon achievement of certain milestones. Wilson Wolf's G-Rex bioreactor remains highly synergistic with our cell therapy offering. This single-use system requires media and GMP proteins to efficiently scale cell therapies and is fully compatible with our closed POPAC cytokine delivery solutions. Wilson Wolf performed exceptionally well, delivering 20% organic revenue growth in the quarter and upper teens growth on a trailing twelve-month basis. We also continue to advance our organoid initiatives during the quarter. Organoids, lab-grown 3D representations of human organs, depend heavily on cell culture matrices, small molecules, growth factors, and cytokines, all of which are longstanding strengths for Bio-Techne. The FDA's recent validation of organoid solutions as acceptable replacements for animal-based models further underscores the rising importance of these cell-based systems. To support this shift, we recently launched Culturex Synthetic Hydrogel, a fully defined synthetic matrix designed to reduce variability relative to traditional animal-based products and to align with the growing adoption of non-animal-derived models. Now let's discuss our proteomic analytical instruments collectively marketed under the ProteinSimple brand. The productivity and precision these platforms deliver across research, biopharma manufacturing, and QA/QC applications continue to resonate strongly with customers. Even in a challenging capital equipment environment, particularly among biotech and academic laboratories, instrument sales grew upper single digits in the quarter with strength across all three major platforms. We continue to advance innovation across our instrumentation portfolio, highlighted by the introduction of ultra-sensitive assays on our automated multiplexing immunoassay platform called Ella. These new assays enable fentogram-level detection of low-abundance biomarkers in blood, which represents a 2-5x improvement in sensitivity over legacy Ella assays. We launched the first application of this enhanced capability for research use only, supporting the detection of neurological biomarkers. Within our Simple Western franchise, demand for LEO, our next-generation high-throughput, automated western blot system, remains exceptionally strong. LEO exceeded our expectations once again, driven by continued robust adoption and an expanding order funnel. This past quarter, we further enhanced the platform by adding fluorescence detection, enabling multiplexing workflows and providing deeper insights into protein expression and pathway characterization. These enhancements meaningfully broaden LEO's utility in advanced proteomic applications and address significant needs in the biopharma end markets. Wrapping up Protein Sciences, our core reagent and assay portfolio, which includes more than 6,000 proteins and 400,000 antibody types, delivered low single-digit growth for the quarter. The portfolio's lot-to-lot consistency, high bioactivity, and broad catalog continue to differentiate this offering. Stabilization across US academia and biotech combined with ongoing strength in pharma supported overall performance in the quarter. Now let's turn to our Diagnostics and Spatial Biology segment, which delivered 3% organic growth. Within spatial biology, our RNAscope product suite generated low single-digit growth. RNAscope enables researchers to detect and visualize RNA sequences at single-cell resolution within intact tissue samples, offering best-in-class specificity and sensitivity. Customers are increasingly leveraging RNAscope and microRNAscope probes and assays to assess biodistribution and toxicity for nucleic acid-based therapeutics, including antisense oligonucleotides and small interfering RNA therapies. Adoption of RNAscope in our diagnostic settings, which we do through our platform partners, also continues to expand rapidly, with growth exceeding 20% for both the quarter and the first half of the fiscal year. Momentum also continued with our Comet instrument, which delivered nearly 40% growth in bookings, marking the second consecutive quarter of strong booking activity. Comet's fully automated multi-omic capabilities are increasingly valued by both academic and biopharma customers as a powerful tool for uncovering novel biological insights. Spatial biology remains the business within our portfolio with the highest academic concentration and a meaningful presence in biotech. Despite ongoing challenges across both of these end markets, we remain encouraged by the sustained momentum in this franchise. Lastly, our diagnostics business delivered high single-digit growth supported by balanced performance across both clinical controls and molecular diagnostic kits. Recent innovation within our molecular diagnostics portfolio is driving increased customer interest, evaluation, and adoption, particularly among oncology and carrier screening reference laboratories. This includes our ESL One exosome-based mutation kit, which is used to monitor resistance to breast cancer therapies, as well as our Amplidex Carrier Screening Plus kit, which interrogates 11 of the most common genes associated with elevated risk for genetic disorders. In summary, the Bio-Techne team continues to execute extremely well while navigating an end market environment that is stabilizing but still challenging. Our disciplined focus on productivity and cost management remains a key driver of our operating margin expansion.
Operator: And although funding uncertainty has influenced
Kim Kelderman: customer behavior in emerging biotech and US academia, recent strength in biotech funding activity and the favorable fiscal 2026 US appropriation bills position both these end markets for continued stabilization and gradual improvement. As we enter our fiftieth year as a company, I remain confident in the durable moats surrounding our core portfolio and in our competitive positions across our fast-growing verticals of cell therapy, proteomic analysis, spatial biology, and molecular diagnostics. With that, I'll turn the call over to Jim. Jim?
James T. Hippel: Thanks, Kim. I'll begin with additional details on our Q2 financial performance, followed by thoughts on our forward outlook. Adjusted EPS for the quarter was $0.46, up 10% year-over-year, with foreign exchange having a favorable impact of $0.04. GAAP EPS came in at $0.24, up from $0.22 in the prior year period. Total revenue for Q2 was $295.9 million, flat year-over-year on both an organic and reported basis. Foreign currency exchange contributed a 2% tailwind, while businesses held for sale created a 2% headwind. Excluding the timing impact from our two largest cell therapy customers, who received FDA Fast Track designation, organic growth was 4% for the quarter. From a geographic lens, North America declined upper single digits as strength from large pharma was offset by order timing in cell therapy, continued funding pressure in biotech, and soft but sequential stabilization from our academic customers. In Europe, revenue was flat against a very strong prior year comparison, with low single-digit growth in academia offsetting a modest decline from biopharma in the region. We are encouraged by the third consecutive quarter of growth in China, where revenue increased mid-single digits. APAC, excluding China, increased almost 20% as the Asian geography continues to show signs of sustained momentum. By end market, biopharma declined mid-single digits overall. However, excluding our largest cell therapy customers, biopharma grew mid-single digits, driven by strong pharma demand but partially offset by emerging biotech softness. Academia declined low single digits, with low single-digit growth in Europe partially offsetting low single-digit declines in the US. Below the revenue line, adjusted gross margin was 68.5%, down from 70.5% last year. The decline was driven by unfavorable product and customer mix, which we expect to gradually improve as the calendar year progresses. Adjusted SG&A was 29.6% of revenue, down 240 basis points compared to 32% last year. R&D expense was 7.8% compared to 8.5% in the prior year. The operating leverage reflects the benefits of structural streamlining and disciplined expense management, partially offset by targeted investments in strategic growth initiatives. Adjusted operating margin reached 31.1%, up 100 basis points year-over-year. This improvement was fueled by the Exosome Diagnostics divestiture and productivity gains, partially offset by unfavorable product mix. Our better-than-expected margin reflects deliberate management of productivity and cost containment measures aimed at maximizing operating leverage in a dynamic environment. Below operating income, net interest expense was $1.1 million, up $500,000 year-over-year due to the expiration of interest rate hedges. Bank debt at quarter-end stood at $260 million, down $40 million sequentially. Other adjusted non-operating income was $1.9 million, up $3.2 million from the prior year, primarily due to non-recurring foreign exchange losses in the prior year related to overseas cash pooling arrangements. Our adjusted effective tax rate was 22.3%, up 80 basis points year-over-year driven by geographic mix. Turning to cash flow and capital deployment, we generated $82.4 million in operating cash flow, with $5.9 million in net capital expenditures. Also during Q2, we returned $12.5 million to shareholders via dividends and ended the quarter with 157 million average diluted shares outstanding, down 2% year-over-year. Our balance sheet remains strong with $172.9 million in cash and a total leverage ratio well below one times EBITDA. M&A remains a top priority for capital allocation. Now let's review our segment performance, beginning with Protein Sciences. Q2 reported sales were $215.1 million, an increase of 2% year-over-year. Organic revenue declined 1%, with a 3% benefit from foreign exchange. Excluding cell therapy timing impacts from our largest customers, organic growth was 4%. Growth was led by our proteomic analytical tools franchise, with notable strength from large pharma customers, as well as low single-digit growth within our core portfolio of research reagents and assays. There was also a large reagent order from an OEM commercial supply customer in Q2 that historically was placed in our fiscal Q3. The timing of this order added an additional 1% growth to Protein Sciences and the company overall. Protein Sciences' operating margin was 39.3%, down 190 basis points year-over-year, primarily due to unfavorable product mix, partially offset by ongoing profitability initiatives. In our Diagnostics and Spatial Biology segment, Q2 sales were $81.2 million, down 4% year-over-year. The divestiture of Exosome Diagnostics negatively impacted reported growth by 8%, while foreign exchange had a favorable impact of 1%, resulting in 3% organic growth for the segment. Diagnostics products grew upper single digits, while spatial biology was relatively flat. It's worth noting that this segment grew low double digits organically in the prior year, creating a challenging comparison. And as Kim already highlighted, our Comet instruments saw solid double-digit growth in bookings for the second consecutive quarter. Segment operating margin improved to 10.4%, up from 3.9% last year, driven by the Exosome Diagnostics divestiture and productivity initiatives, partially offset by unfavorable mix among our OEM customers. We expect continued margin expansion as our Comet spatial biology platform scales. In summary, the team delivered strong second-quarter execution in a stable market, with improved biotech funding as well as further progression towards more favorable NIH funding outcomes, giving us reasons to believe that customer sentiment should be gradually improving as we progress through the calendar year 2026. We remain excited about the FDA Fast Track designation awarded to our largest cell therapy customers. These designations accelerate clinical timelines but reduce near-term reagent demand. Following strong ordering in fiscal year 2025, these customers are now progressing through Phase III trials, resulting in a temporary pause in GMP reagent
Kim Kelderman: purchases.
James T. Hippel: We expect this headwind to moderate slightly in Q3, impacting growth by approximately 300 basis points year-over-year, before moderating further in our fourth quarter and then being completely out of our year-over-year comparison in fiscal 2027. Also, as I mentioned in my Protein Sciences commentary, Q2 benefited from the timing of a large commercial supply order from one of our OEM partners that was originally expected in Q3. This timing benefit in Q2 will now be a 100 basis points headwind to Q3. Taking these customer-specific headwinds into account, we anticipate overall Q3 organic growth to be consistent with Q2. However, excluding the customer-specific cell therapy and OEM headwinds, we expect underlying growth for the remainder of our business to be mid-single digits. This outlook tracks with the stabilization of our end markets and improving customer sentiment. You'll recall that in our fiscal Q1, our underlying organic growth excluding the largest cell therapy customers was 1%. In Q2, the underlying growth was 3%, and also backing out the favorable timing of the Protein Sciences OEM customer supply order. This near-term outlook also sets us nicely for continued improvement in Q4 and a great start to fiscal year 2027 as improved biotech funding translates into higher spending, resolution of US academic budgets is reached, our company-specific headwinds start to abate, and we begin to lap lower year-over-year comps. From a margin perspective, we remain focused on balancing growth investments with operational efficiency. We're pleased with the upside delivered in Q1 and Q2, and remain on track to achieve 100 basis points of operating margin expansion for the full fiscal year. This concludes my prepared remarks. I'll turn the call back over to the operator to open the line for questions.
Kim Kelderman: Thank you.
Operator: Once again, that is star one to ask a question. Our first question comes from Matthew Richard Larew with William Blair. Your line is open.
Matthew Richard Larew: Hi, good morning and thanks for taking the question. So Jim, just following up on growth cadence. So 1% ex items in fiscal Q1, then 3%.
Operator: And you're saying mid-single
Matthew Richard Larew: in fiscal Q3,
James T. Hippel: And I believe there's a 100 bps headwind in fiscal Q4. So if I'm reading this through, you're expecting sort of for the calendar year '26 ex these items mid-single-digit growth with improvement throughout the year. Is that the message?
James T. Hippel: Make sure. Yeah. So, like, we haven't come off our low single-digit view for the full year. And that would require mid-single-digit growth in Q4 at least. Yes.
Kim Kelderman: And I think, Matt, good morning. What you're trying to ask is if you take these two large customers from the GMP headwinds out, would that be the underlying growth? And I think that's in the ballpark.
Matthew Richard Larew: Okay. Very good. And then just following up on gross margins, the year-over-year step down makes sense because of your two large customers. The quarter-over-quarter initially was less clear, but perhaps it's that large OEM order that shifted fiscal Q3 into fiscal Q2. So Jim, maybe just give a sense for why on a sequential basis, gross margins were down and how those should trend for the balance of the year.
James T. Hippel: Yeah. I mean, unfortunately, it was really driven by an unfavorable mix on a number of fronts. Unfavorable mix in terms of our reagents versus our instruments. We talked about the strength in our ProteinSimple franchise. Great margins, but still less than our reagents. And we also had some margin pressures in our diagnostics and spatial segment there where we had, of course, spatial underperforming the diagnostic side that has higher margin pull-through, so you got mix issues there. But in addition, within the diagnostics orders, a lot of different OEM customers have different margin profiles, and it just so happened that we had a larger influx of lower margin customers this quarter. But we again expect the overall mix, both within protein factors as well as in diagnostics, to gradually improve as those mixes start to unwind more favorably in Q3 and Q4.
Matthew Richard Larew: Okay. Thank you. We'll move next to Daniel Leonard with UBS. Your line is open.
Daniel Leonard: Thank you very much. Maybe I'll take up that gross margin question. Jim, what's the driver of a more favorable unwind on gross margin? Presumably, you still expect ProteinSimple to be strong and in Spatial, it sounds like it ought to recover. Given the, you know, growth in bookings.
James T. Hippel: Yeah. So with the overall meeting market gradually improving, and our core has been improving. The margins of our high margins of our reagents will start to flow through more. Again, the customer mix within diagnostics, we know we have visibility to what's flowing through there. We believe that will improve as well. So it truly is more of a mix scenario than anything else. And based on our current view and outlook and what we see ahead of us, we see that mix again, gradually improving in the back half of the year.
Daniel Leonard: Okay. Thank you. And then a high-level question. Given the times we're in, I would be curious for your team's thoughts on AI's impact on demand for Bio-Techne, just given the number of times
Patrick Donnelly: Pfizer mentioned yesterday, AI is a cost-saving and productivity enhancer in R&D.
Kim Kelderman: I can give you a high-level view on that, Dan. Overall, we do believe that AI is a great enabler not only for our customers but also for us, obviously. Our customers will use AI to better understand and to better drive their programs forward. Highly likely AI will help them to be more specific in what kind of materials they want. And highly likely because of the capabilities, the molecules, and the ingredients that they will want to use are going to be more complex. And you know, we've worked for fifty years honing our capabilities in designing but also manufacturing. In a reproducible way these ingredients in very high-quality formats and we believe that these trends will therefore play into our cards, into the strengths that we have built as a company. And overall, are going to be a tailwind.
Daniel Leonard: Appreciate that. Thanks, Kim. We'll move next to Puneet Souda with Leerink Partners. Your line is open.
Puneet Souda: Yes. Hi, guys. Thanks for the questions here.
Kim Kelderman: So, first one, I mean, I appreciate the meaningful step up that needs to happen in the fourth fiscal quarter here. In organic growth. I think you gave some underlying drivers to that. But just wondering if you could maybe point out a number that we should be thinking about exiting the year. And then on '27, I know it's just two quarters away for you. After the guide. I was wondering if you're willing to share any thoughts on potentially reaching high single-digit or is that visibility not clear yet just given all of the moving parts and the end market.
Kim Kelderman: Yeah. Puneet, let me begin your first question with the underlying business trends, and I'll let Jim talk to what that means for the numbers. But if you look at our last couple of quarters, and I'll segment it in the way we usually do it, we have our core business, which is a little over half of the company. Where we can clearly see a recuperation increase of our run rate business. Right? You see the underlying business accelerating, and that bodes well for the activity levels in the markets overall. And if I then double click on the performance in our four growth verticals in cell therapy, obviously, two Fast Track designation accounts play a big role in that. But if you take those out, the business has been growing 30%. And that's in line with where we expect it to be even in tough markets. We have fantastic traction in organoids, which is a strong up-and-coming end market for us. The proteomic analysis obviously, business too. We're now sitting back in the mid-single digits. Accelerating spatial two times in the black where we are flattish, but back in the positive growth territory for the lesions. Sorry, for the reagents and instruments coming along because we have strong order bookings. Sprinkle on top of that the new product introductions where we have basically every month introduced a significant new feature for every business. And then you know, not that we're banking on it, but we've seen very positive trending in our end markets. China and APAC for the third time, China in positive growth. And accelerating. APAC is turning even stronger. And then as you know, tough markets in academic and biotech, but we've talked about some of the indicators why there are positive opportunities there when it comes to the overall end market health. So that is the underlying dynamic, and Jim can actually translate that in numbers.
James T. Hippel: Yeah. So, Puneet, let's just start with, you know, the comps we're facing, from Q3 versus Q4. So we grew 6% of the company in Q3 of last year, and we grew 3% in Q4. That decrease in growth rate you know, from a comp perspective, a combination of from a headwind or tailwind perspective, a combination of lower headwinds from these two cell therapy customers we've talked about. But also, you know, easier comps within our both academic and small biotech starting in February. So there's a 3% tailwind sequentially just right there as a combination of those three things.
Kim Kelderman: And then as Kim talked about in terms of the underlying momentum we're seeing in our whole entire rest of our business, as I mentioned in my comments, if you exclude these two customers and this one OEM timing that we had, our underlying growth was 1% in Q1, 3% in Q2. Our implied guidance would suggest a slight step up in Q3. And so you see this momentum building within our baseline business. And so we think that will continue to build as we exit the year in Q4 and that's on top of the, you know, the 3% tailwind we have from a comp perspective. So that's how we're thinking about exiting the year, which is obviously a very, you know, very strong momentum as we an underlying base business growth as the final headwinds from these customers go away at the start of our fiscal year '27. So not giving any fiscal year '27 guidance, obviously, at this point, but the momentum of business is very encouraging right now.
Puneet Souda: Got it. That's helpful, Jim. And then on China, you pointed that out a couple of times throughout the call. What's clearly interesting here is you're growing ahead of the peers. Indeed consistently. So just could you dive a bit deeper into that? And what's driving this trend, the end market, the customers, what's different here? Versus for Bio-Techne versus some of the peers? Thank you.
Kim Kelderman: Yeah. You're welcome. Yeah. China, it's the third quarter. We are in a positive territory, and the growth is accelerating. I think the China market is overall gaining momentum. They have approved their fifteenth five-year funding plan in which life science is, again, a high priority. And we've seen successes from local biotech companies having exits in the form of M&A or through licensing, and you can clearly see a peak of deals done in a with China Biotech. Overall activity in CDMO and CRO is also improving, and I think we're well-positioned to capitalize on that. And that's really have been driving our results.
Operator: Got it. Okay. Thank you.
Patrick Donnelly: We'll take our next question from Patrick Donnelly with Citigroup. Your line is open.
Patrick Donnelly: Helpful rundown there kind of moving pieces as we head into year-end and next year. I just wanna kind of zone in on a few. It sounds like, again, the message here is mid-single-digit underlying growth if you back out the customers or at least that ballpark. For '26 And then as biotech improves and then these customers flip, you have something to build on as you get into '27. You talk about the biotech piece in particular? Again, still declining for you guys, but sounds like all the conversations are improving. Obviously, we see the funding numbers, which were quite strong in calendar 4Q. What are you hearing from that customer base? And what's the right way to think about the timing of that funding improvement showing up for you guys in terms of revenue? Is it kind of that six-month type lag that you've talked about before? What's the right way to think about the path forward on the biotech for you guys?
Kim Kelderman: Patrick, thanks for the question.
James T. Hippel: Sure.
Kim Kelderman: Biotech has been a tough end market. Right? Obviously, the '25 funding was dismal. That resulted for us in a negative high single digits Q1 and a negative mid-single digits Q2, improving but still not very good. Now we are encouraged because we've really made sure that we are addressing the market with the right products and the right teams. We also make sure that we're launching new product introductions and continuously fit for that end market and we, of course, keep a close eye on the overall health of the end market. Primarily through the funding. And just mentioned that Q3 calendar Q3 funding stabilized, slightly increased, but funding in Q4 increased significantly. And we've also seen very healthy numbers for the first month of the new calendar year. Overall, M&A activity is an important indicator and has been trending positive in that market. Licensing has been positive and trending in the market. Lower interest rates are important to funding of that market and are doing well. And then you know, assuming that there will be access to capital, yes, you're right. Typically, the delay of the funding coming trickling through in life science tools is six months. There's quite some underutilized infrastructure in place. So you know, we are anticipating the bell curve to sit at six months to let's say two quarters plus minus one. And that goes from companies switching on or accelerating their programs and ordering a little bit earlier especially in the reagent side that can go relatively quickly. But then CapEx takes a little bit longer, and that will be the back end of that bell curve. And that's how we look at the dynamics.
Patrick Donnelly: On the cell therapy piece, it sounds like, again, ex those customers are seeing pretty good growth. Can you help us size up? I think at our conference when we were chatting, we were talking about at the peak, those two customers were maybe as much as 40% of the GMP business. Again, you talked about the GMP business down 50%, so that makes sense. Are we to kind of expect this the GMP business normalizes as we get into one Q fiscal one Q twenty-seven for you guys? And then gets back to that you know, over 20% growth as a business, just want to make sure we're thinking about clearly the impact of these customers, when it can flip, and, again, what the right way to think about the sizing of that business is before the customers after and the right baseline. Thank you so much.
Kim Kelderman: Yeah. Patrick, thanks for the question. We're excited that these two customers have their Fast Track designation, obviously an indication for the importance of the treatment, and we've talked about it extensively, so I'll keep that part short. Underlying 700 plus customers, 85 in clinical studies, and six in phase three. But overall in much more evenly sized customers, so it's not gonna be as lumpy as the two that we are now working through this specific air pocket we talked about. But yes, the air pocket was indeed a 200 basis headwind for Q1, 400 for this quarter, Q2. And then we're thinking of the impact to be 300 basis points and then somewhere around a 150 but anywhere between a hundred and two hundred for Q4 and then a total reset. So your conclusion is right that from there, we will go back to normalized growth, as I just mentioned in the pre the first question, underlying growth in that business was 30%. This last quarter, and that is actually a growth that we would expect from this business. But take into account that that is still under very constrained conditions if you look at academic and biotech markets.
Daniel Leonard: So, overall,
Kim Kelderman: we have a very positive view on the end market in particular. Knowing that our comparables will be flushed out, Q1 twenty twenty-seven, also knowing that the number of clinical studies have increased in a healthy pace, and knowing that the mix of clinical studies has tilted towards cell therapy-related treatments, that really plays into our strengths and reads much better on our portfolio. So overall, a very positive about this division going forward into the new fiscal year.
Operator: We'll move next to Daniel Anthony Arias with Stifel. Your line is open.
Daniel Anthony Arias: Good morning, guys. Thank you. Jim, I'm sorry, I just want to go back to the outlook one more time if I can. Is the picture that you're kind of sketching out for the end of the fiscal year, the mid-single-digit growth in 4Q, does that assume that both academic and biotech are growing at that point? Or is it what gets you there really just continued pharma strength and then normalized spending from these two GMP customers?
James T. Hippel: Yeah. Because of the easier comps we can get there to largely without seeing much of a step up in those two customers.
Daniel Anthony Arias: But, you know, but, again, I think any significant improvement in spending to those two partners could be upside. Okay.
Daniel Anthony Arias: And then maybe on the spatial biology side, you have the academic exposure that obviously impacts the instrument side of the equation. But on consumables, how are you thinking about the pull-through rate for LUNIPOR this year? Is that something that you think can grow as an average?
Kim Kelderman: Yes. Dan, thanks. Thanks for always keeping a keen eye out on the spatial side of business. I appreciate it.
Daniel Anthony Arias: Yeah. Listen. It has indeed a larger proportion of revenue linked to the academic performance. Academic performance has stabilized, and what we're really pleased to see is that the mix of the grants has tilted from some research areas more to oncology and neurology, and a preferred tool for those research end markets is spatial. So you do see even though the market is on pressure, that our cons revenues have gone back into positive growth territory, which we are very happy to see in constrained markets. And therefore, this mix is really playing in our favor. Very similar story for biotech. And as you know, we are very happy with our competitive position of the Comet. Our fully automated multiomic instrument. We're really happy to see that our win-loss rates are very high right there where we won them. To be. And the pull-through now is about 45k per instrument per year. But we are working hard on getting the multiomic capabilities rolled out and customers trained on it. And that will drive pull-through for my reagents. And we're actively working on broadening our antibody portfolio for spatial analysis as well. And as you know, we have a broad portfolio of probes in the RNA detection side. Will now have a very broad capability and offering from the protein detection side and we're one of the few that offer true parallel multiomics, and therefore, we are aiming that over time, the pull-through per box under the agent side would be more in the 90k per box per year area. So, certainly, a pull-through play that will definitely help driving growth, but also drive margins.
Daniel Anthony Arias: Okay. But do you think by the end of this calendar year, you're higher than that 45k? I mean, 90 you know, doubling the pull-through rate would be great. But, I mean, it's twenty twenty-six a year where it's up
Kim Kelderman: We will certainly be able to see the start of that trend. But that's a multi-quarter or maybe even more than a year play that I just talked about. That's a true adoption of Multiomics in the space. The space is nascent, but we'll certainly continue to keep pushing forward to the ability and the capability that we will offer our customers. And there's certainly demand for it. So that's a longer-term play. But, yes, the trend will improve quarter by quarter.
Daniel Anthony Arias: Yeah. Okay. Thanks, Kim.
Operator: We'll move next to apologies. We'll move next to Steven McLaurin Etoch with Stephens Inc. Your line is open.
Steven McLaurin Etoch: Hey, good morning and thank you for taking my questions. Maybe just given the FDA's focus on reducing animal models, like to just get an update on how interest has trended for your organoid offerings in can you just give us a sense for how much revenue that's generated from these product lines in the quarter? Yeah. Organoids obviously, is a very interesting trend that we picked up on early couple of years ago. It's a $1.4 billion market growing at mid-teens, and certainly something that we want to play in. Especially because of our broad portfolio of products that are very essential in growing cells and not different for organoids. It's about a $50 million run rate business right now. And yeah, we're definitely aligning our product portfolio or marketing materials and also our new product introductions in favor of that capability, because if you think at the end of it, it's not only the reduced use of animal models but also the organoid model as such gives you a much better result, much more related to an actual human result than an animal model would. So not only is the quality and the consistency of the data you generate from organoids better, it's also a more humane method of getting that data. So overall, a win-win, and that's also one of the reasons why we just launched our Cultrix Coltrex synthetic hydrogel, which is, you know, a gel that helps you grow organoids. And even that gel is now animal-free. And that makes consistency much easier of this medium. And it's also much better to analyze. There's less background noise in any of the analytical methods you would use in organoids. So overall, a very interesting fast-growing market that makes sense to have a strong adoption in the end markets. And then it's not only our cell therapy reagents that read on the opportunity. It's also spatial, the spatial capabilities to interrogate these the organoids. And then Maurice and Ella in our protein analysis business also are tools utilized in the analysis of organoids. So overall, a real boost for our Bio-Techne product portfolio.
Steven McLaurin Etoch: Appreciate the color there. And then secondly, you've also, you know, consistently discussed M&A as a core capability. How are you thinking about valuations in the pipeline in front of you today? And are there any particular footholds you think an acquisition might slot you in a little bit better?
Kim Kelderman: Yeah. M&A has been and will continue to be a core focus for us. We've been very, very busy, not been able to pull a deal off yet. But certainly very interested in deploying our capital that way. We don't really care if it's private or public. We are really looking at where is the best strategic fit. If you think about it, our core specifically around novel antibodies, we wouldn't mind at all adding to those capabilities. Cell therapy is obviously an area that we address really well, but we wouldn't mind broadening our portfolio. And then in the proteomic analysis, we're also keen on adding capabilities that would benefit the company and fit our strategic model. So overall, we are very interested. And in the meantime, as you know, we already have kicked off the Wilson Wolf acquisition. We own 20% of it currently, and we will finalize that acquisition at the latest a little bit less than eight quarters from now at the end of calendar twenty twenty-seven, and as you know, this is a business that fits really nicely with the Bio-Techne cell therapy business and has a fantastic synergy between our product lines. It grew 20% this last quarter. Has 70% plus EBITDA margins, so immediately accretive. So we're very excited that if nothing else, we will be working on that integration and completing that acquisition. We're very interested in doing something in between if possible.
Steven McLaurin Etoch: Appreciate the color. We'll move next to Brandon Couillard with Wells Fargo. Your line is open.
Brandon Couillard: Hi, thanks. Good morning. Jim, it looks like you're kind of outperforming on operating margin expansion in the first half of the year even though mix is kind of working against you. As you talked about? You're sticking with the 100 basis points for the full year. But you previously talked about maybe exiting up 200 bps year-over-year. So is there some reinvestment that's happening in the back half of the year that kind of brings you back to the original goal? And kind of unpack how you expect margins to bear or trend in the second half? Yes. So if you look at the second half so we have a bit of an anomaly in Q3. I mean, if you kind of look at from Q2 to Q4 sequentially last year, we went from roughly 30% operating margins, jumped to 30%, almost 35 operating margins, and then in Q4, we were back down to 32. There were some timing of expenses, as well as some mix, but mostly timing of expenses that occur between Q3 and Q4, which kind of caused that lopsidedness. Now how we're thinking about it is that from a sequential perspective, we'll see continued improvement in gross margin as that mix, negative mix starts to unwind. And we'll see sequential revenue growth, which we always do seasonality-wise, from Q3 to Q2 to Q2 to Q3, and usually even a little bit of a step up from Q3 to Q4 beyond that. So how we're thinking about it is that sequentially, the margin will continue to expand roughly half of that expansion will come from the gross margin improvement throughout the back half of the year. And the other half will come through the higher revenue so that we expect to have in the second half of the year.
Brandon Couillard: How that plays out by quarter is Q3 will be a tougher comp on an operating margin perspective, but Q4 will be an easier comp. And when it's all said and done,
James T. Hippel: think it will be 100 basis points of improvement. For the second half.
Brandon Couillard: Okay. And then just a question on operating cash flow down pretty meaningfully. In the first half. I mean you typically do just under half of the full year operating cash flow in the first half. So is there something going on in terms of a timing dynamic that you'd like to call out? And where do you see cash flow shaping out for the full year right now? Yeah. And I may we may have mentioned the last earnings call, but I'll mention it again. So first of Q2 cash flow was very strong. It was on par with last year. As you'd expect, with our revenue being on par. It was really a Q1 issue, and it was really two main drivers. The first one being the amount and timing of our bonus accrual payouts. For incentive compensation purposes.
James T. Hippel: If you go back a year ago, Q1, we had you know, a very low payout in our bonuses. And in the fiscal year '25, we had a more normal payout. So that it that turned out to be a much larger cash outflow and bonuses from a year-over-year comp perspective in our first quarter. We also had some timing of tax payments that impacted Q1. And that timing of tax payments will gradually unwind throughout this fiscal year. Some of it already did in Q2.
Brandon Couillard: But, the more permanent timing difference for the year will be that Q1 payment of incentive cash bonuses to employees.
James T. Hippel: Thanks. Thank you.
Operator: At this time, we've reached our allotted time for questions. I'll now turn the call back over to Kim Kelderman for any additional or closing remarks.
Kim Kelderman: Thank you everyone for joining today's call. I want to acknowledge the team's outstanding execution amid a complex and continually evolving market environment. The new momentum in biotech funding, progress around the US economic budgets, and strong engagement with our large pharma customers all reinforce our confidence in the ongoing recovery of our end markets. As we enter our fiftieth year, we do so with a portfolio that is more durable, more differentiated, and more strategically aligned with the future of science and medicine than at any point in our history. The strength of our durable core portfolio combined with our continued investments across cell therapy, proteomic analytical instruments, spatial biology, and precision diagnostic tools positioned Bio-Techne exceptionally well for the opportunities ahead. Thank you again for your interest in Bio-Techne, and we look forward to updating you on our progress next quarter.
Operator: Thank you. This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.